Operator: Good day, everyone and welcome to the Chord Energy Third Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note, today's event is being recorded. At this time, I'd like to turn the floor over to Michael Lou, Chief Financial Officer. Please go ahead.
Michael Lou: Thank you, Jamie. Good morning, everyone. Today, we are reporting our third quarter 2022 financial and operational results. We are delighted to have you on our call. I'm joined today by Danny Brown; Chip Rimer and other members of our team. Please be advised that our remarks, including the answers to your questions include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently disclosed in our earnings releases and conference calls. Those risks include, among others, matters that we have described in our earnings releases as well as in our filings with the Securities and Exchange Commission, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. We disclaim any obligation to update these forward-looking statements. During this conference call, we will make references to non-GAAP measures and the reconciliations to the applicable GAAP measures can be found in our earnings releases and on our website. We may also reference our current investor presentation, which you can find on our website as well. With that, I'll turn the call over to Danny.
Danny Brown: Thanks Michael. Good morning, everyone. Thank you for joining our call. Well, we've now completed our first full quarter of operations as Chord Energy and I'm pleased to be discussing our operating and financial results with you, as well as our peer-leading return of capital program. Additionally, we're going to give you some updates on merger integration progress, our ESG strategy, and our expectations for the balance of the year. So with that, jumping right into the third quarter, I can say that our performance here exceeded expectations. We had a large volume beat, which I think sets us up nicely for above consensus volume delivery for the second half of 2022. Compared with that, we were also lowering our capital guidance, which positions us for strong free cash flow delivery in the second half, which should be in line with Street consensus. Given this performance and combined with our strong balance sheet and alignment with our return of capital framework, we announced in August, we anticipate delivering 85% of our free cash flow generated in the quarter back to shareholders. Most importantly, we continue to see very strong well performance in the field, even as we address some operational items that I'll discuss in a moment. So, digging in just a little more on our results versus our guide, production exceeded our guidance in the third quarter, largely driven by strong well performance, which you can see on Slide 10 of our latest presentation. However, some mechanical issues with the casing on a few of our new wells has extended the timing for the completion on those wells, shifting our frac schedules to the right. As a result, fourth quarter production was updated to reflect this new completion timing as well as the associated volume impact of leaving surrounding wells, which are down waiting for completions operations to conclude offline longer than originally expected. We've also included in our revised fourth quarter expectations, the impact of many of our ESPs in the Sanish area being offline due to a power disruption caused by a vehicle incident. So in aggregate, given our strong performance in the third quarter and taking into account the items above, we expect to deliver total second half production volumes favorable to our August update was slightly less oil, but also slightly less capital. Importantly, we view these items as transient and timing related in nature, the field is performing very well and we anticipate no impact to our 2023 program. On capital, as I mentioned, we lowered our full year capital guidance versus our August update, reflecting good performance in the third quarter, the schedule shift and perhaps a bit too much conservatism built into our previous estimates. I'll note, we continue to expect to frac around 106 wells in 2022, which is about the same as our August update. However, while total fracs are about the same, a number of our turning lines or TLs will be pushed into 2023, taking our total TL estimate down below 100 for the full year. Now turning to our return of capital program, given the strong quarterly performance previously discussed, we delivered an exceptional adjusted free cash flow of $326 million for quarter. Recall that in August, we announced a peer-leading return of capital framework that returns 75% or more of free cash flow generated during the quarter when Chord has low leverage. We expect to return this capital through a balanced approach of base dividends, variable dividends, and opportunistic share repurchases. Our annualized base dividend of $5 per share has a yield of 3.2% and represents a 233% increase in less than two years. Our base dividend is a core part of our return of capital strategy, and importantly is designed to be resilient at low prices and to be sustainable through commodity cycles. On repurchases, in July, we took the opportunity to repurchase $125 million worth of stock at an average price of $106.25. This represented close to 3% of the company, over 50% of the non-base dividend portion of our return program, and we have an additional $300 million of share repurchase authorization today. Given the above, we have declared a variable dividend of $2.42 per share for the quarter and have gone above 75% of free cash flow in determining this variable dividend. The aggregate variable payment of approximately $100 million is the difference between approximately 85% of the $326 million of free cash flow generated in the third quarter minus the base dividend of around $52 million minus $125 million of share repurchases. Since the merger closed and including our November payout, we will return $869 million of capital as Chord, and our third quarter return of 85% of free cash flow will amount to $277 million and represent an annualized deal of 18%. And other highlights for the quarter, in September, we successfully monetized $16 million or about 76% of our Crestwood units at an approximate discount of 6.5%. Gross proceeds were roughly $428 million and were expecting cash taxes of around $10 million to $15 million. The company took the opportunity to monetize these units given an attractive mix of market conditions, which allowed us to unlock this value at a fairly modest discount. After the sale, Chord currently holds about 5 million Crestwood units. Now turning to ESG, you may have noticed we recently posted a letter to our stakeholders on our website, along with pro forma ESG metrics for the combined companies. We provided this information in the interest of transparency and to remind the markets we are dedicated to providing robust disclosure and improving our performance. In 2023, we plan to resume publishing a full sustainability report after the integration is complete. Highlights include a trend of reduced GHG intensity, improved freshwater intensity, a continued commitment to safety for employees and contractors in maintaining strong corporate governance. Chord is currently using Tier 4 engines and dual fuel on our frac fleet and also battery systems on our rigs, which reduced the need for diesel generated power. These technologies have mutual beneficial impacts of reducing emissions while also saving costs. Onto the merger, we continue to make substantial progress on integration and remain very excited about our prospects going forward. We continue to make progress on the staffing side, having solidified leadership over the summer with further progress on managers and staff in the third quarter. We continue to integrate software on processes across all verticals and as a reminder, we've identified over $100 million per year of total synergies versus our original expectations of $65 million. On the capital side, we're optimizing our drilling rigs and are implementing best practices. We're also implementing new practices to optimize completions as well as facility design and construction. On the operating side, in the near-term, we're expecting initial investments to create the groundwork to reduce artificial lift failure rate and we should start to see the benefits of that later in 2023. Additionally, we're centralizing maintenance and other operations while consolidating routes and driving further efficiencies. And on the G&A side, we remain on track for approximately $35 million of cash savings versus the pre-merger baseline. All-in-all, I'm very pleased with the progress we're making and the new opportunities the team have identified. I can't thank our people enough for driving this progress and making it happen. Your efforts are recognized and sincerely appreciated. And with those highlights, I'll now turn it over to Michael for some financial updates.
Michael Lou: Thanks, Danny. I'll highlight a handful of key operating items for the third quarter. As you see in our IR materials, we converted to three-stream reporting for the combined company. I just want to acknowledge the Chord team for their hard work on this front. Converting to three-stream was a major undertaking in the accounting, marketing, reserves and planning teams spent a ton of hours making this happen. Thank you. Crude realizations remain at a premium to WTI, which we expect will continue into the fourth quarter. Additionally, we provide a new disclosure on gas and NGL realizations, which are net of certain marketing fees. LOE averaged $9.86 per BOE for the third quarter, reflecting higher work-over spending. As our guidance implies, we expect this to trend down in the fourth quarter. Cash GPT was $2.39 per BOE below the midpoint of the range provided in August. And production taxes were approximately 7.9% of oil and gas revenues in line with guidance. As a reminder, our production tax guidance increased from 7.5% range in the first half of 2022 to approximately 7.9% in the back half of the year, reflecting the recent increase in North Dakota oil taxes. This increase relates to a pricing trigger effective in June as a result of WTI averaging above $94.69 per barrel for three consecutive months. The rate is set to reset back to lower levels seen in the first half of 2022 if WTI is averages below $94.69 per barrel for three consecutive months. And based on the latest WTI pricing, this is expected to occur in November. Chord cash G&A expense was $16.3 million in the third quarter, and that excludes $55.6 million of cash merger-related expenses. In the third quarter, Chord took the vast majority of the expected merger-related expenses and we expect these items to fall significantly in the fourth quarter. Chord paid no cash taxes in the third quarter. In fourth quarter, cash taxes are expected to be approximately $10 million to $20 million plus an additional $10 million to $15 million for cash taxes associated with the September divestment of the Crestwood units. CapEx was $230.1 million in the third quarter, about $50 million below initial expectations. The delta largely relates to timing, which is reflected in our fourth quarter guidance. Overall, second half 2022 capital expectations are down a bit from our August update. Chord has nothing drawn on its $2.75 billion borrowing base. That's up recently from a $2 billion borrowing base. And now we have $1 billion of elected commitments, up recently from the $800 million level. Cash was approximately $659 million as of September 30. In closing, a huge thank you to the full Chord team for delivering a great third quarter and expectations for the remainder of the year, this sets us up well moving into 2023, led by strong well performance and continued focus on cost control, which leads to excellent return on capital and a peer-leading return of capital program. With that, I'll hand the call back over to Jamie for questions.
Operator: [Operator Instructions] And our first question today comes from Scott Hanold from RBC Capital Markets. Please go ahead with your question.
Scott Hanold: Thanks all. Good morning. I was kind of curious on shareholder returns and if you can give us some thoughts on what you think about the mix going forward. And the context being you obviously were fairly aggressive in July with buybacks, but it looks like its shutdown from that point. So, as you see, do you find that buybacks are more opportunistic versus when prices go – when the stock price goes down versus something that’s more sustainable? And just some context around that’d be great.
Danny Brown: Yes. Thanks for the question, Scott. And Scott, it’s good to hear you – good to hear you asking a question. So we’ve got – yes, on the return of capital program, as you look at what we did over the course of the quarter, it represented over about 55% of our sort of what I’ll call discretionary return program. So that’s the non-based dividend portion of that program and so we think that share repurchases are a meaningful avenue and a meaningful part of our overall return of capital strategy, and certainly did that – certainly represented that within 3Q. As we look forward, I anticipate those will continue to be a meaningful part of a return of capital strategy. As you note though, we look at this – we do look at this opportunistically, not programmatically and clearly early in the quarter represented a great opportunity for us to do that. And so we leaned in hard to that element as a result of that opportunity that we saw. And when we think about opportunity, it really is around sort of our – not just where we think the inherent value of our shares are, but also our relative trading performance. And so we take lots of factors into account when we think about that, but we do anticipate it’s going to be a meaningful part of our return of capital strategy both now and as we move forward.
Scott Hanold: Got it. Thanks for that. And I guess, my next question is going to target more on the identified synergies and integration, I guess, holistically. Obviously you identified the $100-plus million target, and can you give us some context just from, obviously as everybody here is sitting on the outside looking in. Just give us a sense of like, how should we see the synergies kind of evolve into, I guess it would be ultimately free cash because, obviously there’s a lot of things going on such as inflationary pressures and everything else. So like where do you think like from an investor and analyst perspective, we’re going to be able to step back and saying, look, yes, here are the synergies, obviously outside of the G&A which is pretty straightforward.
Danny Brown: Yes. Unfortunately to your point, Scott, we’ve got a bit of a sort of changing – change in backdrop that we’re identifying these synergies against as we see inflation and overall cost move up. The good news is, the overall organization is much better position than either organization would’ve been standalone to weather this sort of inflationary environment. And so the cost we’re seeing are – we’re trying to hold ourselves accountable very deliberately with how we’re thinking through synergies and the identified synergies that we’ve got. And so what I think you’ll see is our cost structure being lower, both from an operating perspective, an LOE perspective, a G&A perspective and a capital perspective than it would’ve been otherwise. But of course, those overall – we have the factor inflation into this as well. And so the $100 million in synergies is really sort of at a same-same cost level. And so as you see cost increase, some of those will erode, but it would’ve been that much worse had we not been able to do this. And so we’re trying to be intellectually honest about this and hold ourselves accountable for it. We’ve got a lot of work streams internally within the organization to make sure we’re actually realizing these synergies. But do understand that with the backdrop moving, it can be a little hard to quantify at the end of the day. What you should see generally though is an impact to our free cash flow, as mentioned due to a lower cost structure both on the CapEx and OpEx side.
Scott Hanold: Yes. Yes, and I guess it does hit a lot of different line items too. But I guess big picture is that as we started thinking about 2023 CapEx, and I assume it’s too early to give much color on that. But I’d be interesting to hear if you all think you can hold the line a little bit more relative to peers given those synergy savings potentials.
Danny Brown: Yes, it’s a great question, Scott. To your point, we’re not ready to give full detailed guidance on 2023 yet. That’s probably something that’s going to happen toward the beginning of next year. But I will say just more generically that we feel really good about our ability to deliver next year. And I think given some of the impacts we saw across 2022, both the weather that we saw in April and now some of these till delays toward the latter part of the year, we’re likely to show a little growth year-over-year for essentially a similar activity level. When we think about capital with the inflation we’ve seen to date through sort of run through the system and given where we think things are going as we move forward, we’re expecting maybe around a 10% increase cost for 2023 relative to 2022. But we’re refining those numbers and we’re going to give sort of full detailed guidance around that after the beginning of next year.
Scott Hanold: Appreciate all that. Thank you.
Operator: And our next question comes from Derrick Whitfield from Stifel. Please go ahead with your question.
Derrick Whitfield: Thanks and good morning, all.
Danny Brown: Good morning, Derrick.
Derrick Whitfield: Perhaps for Danny or Michael, wanted to touch on inventory, certainly a topic of focus throughout earnings thus far. As we talked about it in the past, the market generally overvalues Permian inventory and undervalue Williston inventory. As investors are increasingly focused on the quality and depth of inventory, are there any general high level comments you could offer on the resiliency of your returns and the impact 3 mile laterals will have on your ability to sustain comparable capital efficiency as you look out over the next three to five years?
Danny Brown: So, Derrick, I love the question and I tell you, Michael and I had a conversation about this recently, and so since you mentioned him I thought you had some great comments in the conversation that I had with him. So I’m going to ask him to respond to this, and I may weigh in with some color comments as we go forward.
Michael Lou: Yes, Derrick great question. Look, I would say it’s a couple of things and I like the way you framed it. I think that with more 3 mile laterals with the synergies that we just talked about as well, and that coming through, you will see capital efficiency hold pretty strong through our program over the next few years. So the sustainability of that capital efficiency, we think is actually very strong. We are not seeing maybe the same magnitude of cost pressures that you might see like in the Permian. And so there might be some additional pressures where other companies are seeing that we might not be seeing necessarily quite as much. And then I think the other important piece that that you kind of touched on as well is the predictability of our inventory versus maybe other basins in general. We are a more mature basin, and we have I think very good strong predictability into our inventory. A little bit less of the things that other basins are being challenged with as they’re spacing and parent child degradation. I think things are just a little bit more understood in the Bakken. So the predictability, I think is a very strong consideration as you’re looking at not only the capital efficiency, and the resiliency and the length, but also that predictability piece.
Derrick Whitfield: Terrific. And as my follow-up, I wanted to build on Scott’s first return of capital question. While you clearly stopped short of increasing the payout to 85% in your messaging, it would appear that you have a strong balance sheet clearly and cash positions and that that could allow you to sustain over 75% for the foreseeable future. Is that a fair assessment?
Danny Brown: Derrick, we’ve got a strong balance sheet. We think we’ve got a great return of capital plan and program, which does have some pluses at the end that allows us to lean into those. If we think that’s the appropriate thing to do. So given the free cash flow generation, the low reinvestment rate that we’ve got in our balance sheet, I think we’re in a great position for return of capital.
Derrick Whitfield: Terrific. Thanks for your time this morning.
Danny Brown: Thanks, Derrick.
Operator: Our next question comes from Neal Dingmann from Truist Securities. Please go ahead with your question.
Patrick Enright: Hi, everyone. This is Patrick Enright stepping in for Neal Dingmann here. Let’s see, at the start of your presentation, you mentioned the operational delays in the third quarter, I believe is due to a casing issue. First part of my question is, whether this is a one off or something that you’ve seen that you anticipate may occur in the future. And then the second part to that is what is the – what was the impact of the casing issue to the – I guess, the surrounding wells? Is there a typical downtime timeframe that you can provide?
Danny Brown: Thanks for the question, Patrick. I might lead off quickly and then ask Chip Rimer to weigh in on some more operational specifics. Generally speaking, we see this as a one-off event for a discrete set of wells that are involved in this. And so nothing sort of systemic or – what we think would be repeatable associated with this. And so that’s good news. It is frustrating. But I’m going to let – I’m going to ask Chip to weigh in and provide some more detail.
Chip Rimer: Yes. Patrick, this is Chip Rimer. Thanks for the question. And you’re right, Danny, it’s a one-off issue. We’ve already repaired one of the wells and we have a second one will be done today or tomorrow, probably. Anticipate fracking these wells later in the month sometime here. We had those prior set for end of third quarter, and we’re going to have to push those later to end of the fourth quarter, but that’s the impact on that. And then you hit it exactly right. When you have some of these wells, it depends how many wells you have around. You have to do the frac protect and shut those down. And so when you look at it, probably the – what we adjusted our guidance to, probably 75% is associated with this event, but it’s a one-time event. I feel real good that we’re going to be able to frac that and keep it going.
Patrick Enright: Terrific. Thanks very much.
Chip Rimer: Yes. And it’s really, we had it – we had a white space in the back, so we’re just extending this down. We didn’t have a period of time there. We didn’t have a completions running, and so it’s just pushing it down a little further.
Patrick Enright: Great. Thanks.
Operator: Our next question comes from Phillips Johnston from Capital One. Please go ahead with your question.
Phillips Johnston: Hey guys. Thanks. Maybe just to follow-up on Scott and Derrick’s question on capital return. It makes sense you guys got aggressive on the buyback given where the stock was in July, but I know the formula uses variable dividend, it’s sort of a plug to sort of get you to your total target. So just wondering why you plugged to 85% rather than 75%?
Michael Lou: So, Phillips appreciate the question. As you know, when we put that framework out, we put that framework intentionally out with some pluses at the end to give us some flexibility. And so if we felt like we were in a position where we could lean a little harder into return of capital, given quarterly performance, given balance sheet, we had an opportunity to do that. And we think that performance we saw in the quarter and given where our balance sheet sits currently. It was an appropriate thing for us to do to lean in a little harder into this return to capital strategy. And that’s why we land in on the 85%.
Phillips Johnston: Okay. Makes sense. And then just, I guess you’ve got about 5 million units remaining in Crestwood, just wondering what the plan might be for that. And then, I guess if you did ultimately monetize that, I believe the tax leakage would be a little bit higher than the units that you just sold. So can you remind us what the potential tax implications would be?
Michael Lou: Sure. Great question Phillips. So yes, we have 5 million remaining shares. What I’d say is that the share sale that we did in September was pretty opportunistic. We saw a great chance of doing a few things. One, monetizing some of the units at a good discount, really helping the trading of the Crestwood units as well by removing and overhang. As you know, those are always kind of tricky monetizations. And so this is a way to really have a pretty elegant solution, but it was pretty opportunistic. It came very quickly and came together at a great discount for us as well. I’d also note that we are very happy shareholders. They’re doing a fantastic job. They’re our largest midstream provider and we’re the largest customer on their system. We love what we’re doing, you see the well productivity that we’ve been talking about and the strength of that. We feel very confident in what Crestwood’s doing. So, we really like – we like those shares. They’re paying a really strong distribution as well. So we like that side of it as well. So we have no current intentions on that side to speak of. But you mentioned the tax, the tax perspective on that. So what you’ll notice is that the large sale that we did in September comes with very little tax leakage on those units. But the remaining units have actually a negative basis associated with them. And that’ll lead to if we monetized, let’s say today at the current share price that Crestwood’s trading at. It would be about a 40% to 50% tax leakage on the remaining shares. So that gives you kind of a band of what that might look like in today’s prices. Obviously, that changes a little bit if prices move up or down on those units.
Phillips Johnston: Great. That’s very good color. Thanks very much, Michael. Appreciate it.
Michael Lou: Absolutely.
Operator: Our next question comes from David Deckelbaum from Cowen. Please go ahead with your question.
David Deckelbaum: Thanks, Danny, Michael, Chip, appreciate you taking the time today.
Danny Brown: Absolutely.
Michael Lou: No problem.
David Deckelbaum: Wanted to talk about just the Crestwood monetization. Obviously, now you have almost $700 million of cash on the balance sheet, and you project to be quite free cash generative. You have a pretty generous return on capital program. But in anyway, how do you think about the cash balance right now? It appears to be a bit elevated and doesn’t seem like the Crestwood monetization is necessarily going or being considered in terms of return on capital. So it maybe there’s – it’s more philosophical, but just wondering how you’re thinking about that heading into next year?
Danny Brown: Yes, thanks for the question David. So I think it’s a great question. We – and we continue to evaluate the use of proceeds here. And I’d say as always, we – and we’ve been transparent about our thoughts here. We frame our capital allocation decisions really around four different buckets, those four being around organic growth opportunities, debt repayment opportunities inorganic opportunities, so M&A type things and then share returns. I’d say we think we’ve got a pretty robust framework from a share return perspective. I talked briefly about our capital plans and our capital plans for 2023. And obviously, as you mentioned, our balance sheet is in a great spot. So debt repayment isn’t really something that we’re very focused on. And so, I think, we have given this return framework, we’ve got that we feel is pretty robust. We also do think about how we’re positioned with an industry. And we’ve mentioned before that consolidation is an important theme for us, and that we need to participate in that one way or another. And so, we think having a little bit of firepower on the balance sheet to be opportunistic if the time, if the opportunity presents itself is a good thing for us. And so – but we’re going to be very prudent about that. I think I’ll say that we’ve passed on a few opportunities and we’re very discerning on these sorts of things. But we think, we’re well positioned to be a consolidator and just given our balance sheet and where the banks are at currently, it probably makes a little sense for us to have a little firepower around that. And – but we’ll continue to evaluate this, the use of proceeds and really all capital allocation and the framework I mentioned earlier. And really our goal at the end of the day is to be seen as great capital alligators across the cycle and that’s really important to us.
David Deckelbaum: Thanks, Danny. It was a nice and fullsome response. If I could ask one about 2023, I know you’re not prepared to give explicit guidance, but thinking about just sort of benchmarks or goal posts, is it fair to say with fourth quarter, the implied guide – or explicit guide, the 170 to 200 includes perhaps a little bit more activity than we would see on an average run rate basis next year? One is that fair to say? And then two, I guess if we think about just cost inflation on top of what we’re seeing now, do you still have outstanding RFPs for most of the work to be performed in 2023 with frac crews and drilling rigs?
Danny Brown: So on the RFP side, we’ve got rigs contracted through the better part of next year, not completely through the full year, but through the better parts sort of think through kind of third quarter timeframe. And so from a rig standpoint, that’s nice. I will say there’s on any of these things, particularly with some of our completions cost, a lot of these costs are pass through at nature. And so as we see fuel costs move up, our costs move up and we can see labor adjustments and that sort of stuff, not so much on the rigs, but with some of the other services we have. So I think it helps secure those services for you. Certainly on the drilling side, it helps lock some of your cost in, but you can see some cost movement even with your contracts on some of the balance of the program. But feel great about the services, the availability of services for us as well as the rates we’ve got currently as we’ve got currently under contract. With respect to activity, fourth quarter as to your point, we’ve got a lot of activity in fourth quarter. It’s probably not on a run rate basis, probably a little more than what we would do on average over the course of 2023. So it may not be the best marker to use if you’re trying to project out what our 2023 program looks like. My comments earlier with respect to kind of how we’re thinking about 2023 is probably a better way to think about it. So I think probably slight production growth over year-over-year. We recognize we had some hiccups over the course of this year with the weather that came through in earlier in the year. And then with these till delays, so slight production growth likely year-over-year for on an inflation adjusted basis. I think maybe similar cost, but factoring in inflation’s probably 10% up, something like that.
David Deckelbaum: Appreciate the answers.
Operator: [Operator Instructions] Our next question comes from Paul Diamond from Citi. Please go ahead with your question.
Paul Diamond: Good morning, all. Thanks for taking my call. I just wanted to touch base quickly on, as you guys progressed more towards three-mile laterals, has there been any kind of unexpected pain points or unexpected simplicity that you guys have encountered? Or has it all been pretty run of the mill?
Danny Brown: Yes, I’d say one of the great things about Bakken is it’s pretty easy. It’s pretty easy drilling up there. And we’ve certainly seen that with these three-mile laterals, all that’s shipped away in more, but the program’s gone very, very well.
Chip Rimer: Yes, and I’ll knock on wood, it’s gone very well, Paul. So appreciate the question and the drill outs. So, that’s always one of the challenges and we’ve had – we have a coil unit out there that go three miles. We’ve been able to go, we have eight or 10 of these out right now. We’ve been able to go almost near the toe all the way to the end. Plus we use dissolvable plugs, and so we feel real good about clean outs, and that’s actually going to save us when it’s all said and done, because some of our plant had two clean outs on these going forward. So I see a big savings there going forward.
Paul Diamond: Understood. Thanks. And then just one quick follow-up. You guys have talked about wanting to be very selectable about any potential, bolt-ons or acquisitions, and you said you pass on a couple of deals. Was it more of a pricing or an acreage, or kind of what was the rationale on passing and kind of what makes, and what in your mind is that sweet spot for a deal?
Danny Brown: Yes, I think, you factor all those things in. And so it’s – you want to make sure that you’re – which I think is appropriate, and how do we weigh those things against one another. It may be cost in acreage and quality of inventory and quality of existing production. And so, there’s a whole lot of factors that go into it. We think we’re in a great position. We’ve got a deep inventory based within our own position currently. But we do think we are a very sensible consolidator. And so we’re going to be opportunistic and look to participate in that market, but also recognize that we need to make the organization better through these actions, not just bigger through these actions. So we’ll be very – will be selective, but when the opportunities present themselves, we want to be able to act on them if they’re the right thing.
Paul Diamond: Understood. Thanks for clarity.
Danny Brown: Thanks Paul.
Operator: And ladies and gentlemen, with that, we’ll conclude today’s question-and-answer session. I’d like to turn the floor back over to Danny Brown for any closing remarks.
Danny Brown: Thanks, Jamie. Well, to close out, I’d like to thank everyone for their time today. I’m very happy with how the integration is progressing and think we are creating an excellent company with a differentiated opportunity to create value. We remain very committed to our core strategy, which revolves around being strong capital allocators, retaining financial flexibility, and returning significant amounts of capital to shareholders. We’re doing this with a focus on sustainability and drive for further improvement across every aspect of our business. We’re excited about the opportunities going forward for our shareholders, employees, communities, and other stakeholders. Thanks for joining our call.
Operator: Ladies and gentlemen, with that we will conclude today’s conference call and presentation. We do thank you for joining. You may now disconnect your lines.